Operator: Good day, and thank you for standing by. Welcome to the NOV Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that today's conference is being recorded. I will now hand the conference over to your speaker host for today, Amie D'Ambrosio, Director of Investor Relations. Amie, please go ahead.
Amie D'Ambrosio: Welcome, everyone, to NOV's Fourth Quarter and Full Year 2025 Earnings Conference Call. With me today are Jose Bayardo, our Chairman, President and CEO; and Rodney Reed, our Senior Vice President and CFO. Before we begin, I would like to remind you that some of today's comments are forward-looking statements within the meaning of the federal securities laws. They involve risks and uncertainty, and actual results may differ materially. No one should assume these forward-looking statements remain valid later in the quarter or later in the year. For a more detailed discussion of the major risk factors affecting our business, please refer to our latest Forms 10-K and 10-Q filed with the Securities and Exchange Commission. Our comments also include non-GAAP measures. Reconciliations to the nearest corresponding GAAP measures are in our earnings release available on our website. On a U.S. GAAP basis, for the fourth quarter of 2025, NOV reported revenues of $2.28 billion and a net loss of $78 million or $0.21 per fully diluted share. For the full year 2025, revenues were $8.74 billion and net income was $145 million or $0.39 per fully diluted share. Our use of the term EBITDA throughout this morning's call corresponds with the term adjusted EBITDA as defined in our earnings release. Later in the call, we will host a question-and-answer session. Please limit yourself to one question and one follow-up to permit more participation. Now let me turn the call over to Jose.
Jose Bayardo: Thank you, Amie, and thank you, everyone, for joining us this morning. I want to start by recognizing and thanking Clay Williams for his leadership and his lasting impact on NOV. Clay served as NOV's CEO for over 10 years, but he helped build and shape this great organization and its incredible culture over nearly 30 years. As CEO, he led this company through some of the most challenging industry cycles while setting a high standard for integrity, perseverance and commitment to all of NOV's stakeholders. NOV is the great company it is today due to his exceptional leadership and all of us wish him the very best in retirement. Turning to our results. NOV delivered an outstanding fourth quarter to cap off a solid year, executing well in what continued to be a turbulent market environment. Fourth quarter revenue improved 5% sequentially but decreased 1% year-over-year against a global drilling activity decline of 6%. EBITDA was $267 million, up $9 million sequentially. For the full year, revenue decreased 1% to $8.74 billion and EBITDA exceeded $1 billion for the third straight year despite the challenging market environment. I'm proud of the way our team performed and pleased by the demonstrated resilience of our diverse portfolio of market-leading technologies. We achieved a full year book-to-bill of approximately 91% on a 15% increase in revenue out of backlog, and we ended the year with a total backlog of $4.34 billion. 2025 orders were led by demand for offshore production technologies, resulting in our offshore-related backlog growing more than 10% during the year, supported by demand for subsea flexible pipe offshore construction equipment and processing modules. Strong demand for offshore equipment and solid execution on our backlog more than offset lower demand for aftermarket parts and services from our offshore drilling contractor customers, leading our Energy Equipment segment to post its fourth straight year of revenue growth and margin improvement. Energy Equipment's strong performance mostly offset a 4% decrease in revenue from our shorter-cycle, more North America land-weighted Energy Products and Services segment. Rodney will provide more color on operating unit performance, but both segments performed well in a challenging market due to continued efforts to drive additional efficiencies and process improvements. Those efforts enabled us to reach our second consecutive year of converting over 85% of our EBITDA to cash, resulting in $876 million in free cash flow in 2025 and $1.8 billion in free cash flow over the last 2 years. Today, NOV is entering 2026 in a position of strength. We have strong market positions in almost everything we do, a fortress balance sheet, and we have what I believe is the best team of people in the industry. They believe in our mission to lower the marginal cost of energy production and help deliver reliable, affordable energy to the world. They also take great pride in providing exceptional service for our customers and come to work every day with a continuous improvement mindset. While NOV is in a strong position, we see additional opportunities to drive value for our shareholders over the coming years. As we look forward, there are 2 simple overarching areas of emphasis on which we are focused. One, continue to drive operational efficiencies; and two, lean into the many growth avenues we have in front of us. NOV has done a significant amount of heavy lifting over the last 10 years, actions that were needed to navigate through the repercussions of the November 2014 oil price war, the global pandemic and the dramatic shift from investments in offshore activity to U.S. shale. Our work included consolidating, repositioning and simplifying our business and improving operational and back-office efficiencies. This work continues today with our ongoing $100 million cost-out program, multiple facility consolidations and exiting underperforming product lines and geographic markets. While we are well beyond the low-hanging fruit, we still have opportunities to drive efficiencies, grow margins and increase return on capital, and we are accelerating the pace and increasing the scope of our efforts. As we drive efficiency and productivity gains, they are being offset by lower activity levels, tariffs and inflation. Still, we are driving more change to make the organization better every day, and our work is positioning NOV to outperform over the long run. There are many indications of the progress we are making with a number of our operations achieving record performance, some of which Rodney will highlight. We also see progress in numerous KPIs we measure and benchmark in our businesses, including cost of quality, which measures warranty, scrap and rework rates. We've seen significant improvement in this area over the last few years. And today, most of our operations are well within the top quartile of performance. Benchmark not only against oilfield equipment companies, but also leading industrial manufacturing peers. This also shows up in recognition from our customers, such as our subsea flexible pipe business receiving their top customers Best Supplier of the Year award for the third consecutive year. We've also driven improvements in health and safety KPIs such as total recordable incident rate and lost time incident rate over the last few years. Better HSE performance means our employees return home from work safely and in good health. Additionally, we are convinced that strong HSE performance reflects a culture that has pride, accountability and ownership in its operations, which translates into higher quality, reduced downtime and better service for our customers. Another sign of operational and process efficiency is our cash conversion cycle, which has benefited from the work we've done to improve all facets of our operational processes. We exited 2025 with a cash conversion cycle of 119 days and a working capital to revenue run rate of less than 22%, down from 143 days and 28.8%, respectively, in 2023, freeing up around $630 million of cash. While we will continue to focus on optimizing our portfolio, lowering costs, improving margins and driving efficiencies to increase return on capital, the actions we are taking also enhance our ability to lean more aggressively into both organic and M&A growth opportunities. We've always been disciplined in our allocation of capital. But over the past few years, we significantly raised the hurdle related to our criteria for acquisitions. In 2025, we did not complete a single acquisition. It's not that we're no longer interested in pursuing acquisitions. We've just set a much higher standard for them. For us to pursue an acquisition, it should fit within 1 of 3 categories: one, core business technology bolt-on, meaning a business or a technology that replaces or supplements a current core offering: two, direct consolidation opportunities; and three, larger acquisitions that already have scale, competitive advantage and compelling growth prospects. Any acquisition must also be accretive to our margins, earnings, cash flow and return on capital. Also, the more efficient our internal processes are, the better we are able to leverage NOV's global manufacturing, supply chain, marketing and other functions to improve profitability and grow the acquired business, making our case for investment more compelling. We expect all of our businesses to be leaders in what they do. We must either be a top 3 player in the market or have a compelling strategy and path for how we get there. If we do not have an achievable path, we will plan to exit the line of business. Today, we are a top 3 player in most everything we do. The combination of technology leadership, exceptional service and scale can be self-perpetuating, driving market leadership and additional growth opportunities. Complacency kills, and we will not lose sight of the continuous need to invest in product development and innovation. The success we are having with our new products and technologies is driving increases in market share and additional growth opportunities become even more compelling with the type of market we see emerging in late '26 and into 2027. Our objective is not growth for growth's sake, it is about value creation. We will invest in areas where we have clear competitive advantages, high barriers to entry, technology differentiation and a high likelihood of outsized market growth, all of which would be expected to result in investments that are accretive to margins and return on capital and drive value for our shareholders. Our market outlook naturally informs how we think about deploying capital, and 2026 will likely continue to provide a challenging market environment. However, our mid- to longer-term outlook is compelling. The current consensus view is that the oil market is currently oversupplied by between 2 million to 3 million barrels a day. This is due to an oil supply wave coming from OPEC's unwinding of production cuts and from pandemic era non-OPEC FIDs that are now coming online. Despite the excess supply, oil prices are holding up reasonably well due to geopolitical risk and increased storage capacity in Asia. However, with OECD inventories at the high end of their 5-year range and total global inventories that appear to be at their highest levels since 2021, there's downside risk to commodity prices. As a result, we are seeing customers take a cautious approach to the start of 2026, but we expect oil markets will start coming back into balance in the second half of the year, driving higher levels of customer spend and setting up a much healthier market in 2027 and beyond. Overall, we expect global industry spend and drilling activity to decline slightly year-over-year. In the U.S., we expect activity to be down mid-single digits year-over-year due primarily to the low activity exit rate from 2025 and further declines in oil-directed activity that will be offset by higher activity in gas basins. Slightly longer term, we expect U.S. short-cycle activity to remain sensitive to price signals, resulting in a modest recovery in activity by late 2026 and early 2027. We believe fiscal discipline among operators due in part to concerns related to depth and quality of drilling inventories and the state of the service complex's asset base will constrain activity growth. Capacity has moved overseas and attrition from the wear and tear of equipment operating 24/7 has taken its toll. Any increase in activity levels will likely require a disproportionate amount of demand for capital equipment, creating a compelling market opportunity for NOV. Longer term, we expect U.S. activity to realize modest but consistent growth to maintain a long production plateau as unconventional basins continue to mature. In international markets, we expect activity will be flat to up slightly in 2026, driven by rigs going back to work in Saudi Arabia and by the expansion of unconventional activity in international markets. This increase in unconventional activity throughout the Middle East, Latin America and Australia will continue to drive investments in the high-spec drilling, completion and production equipment needed to efficiently develop these resources, almost all of which NOV provides. Additionally, we see meaningful potential in Venezuela for us to help get the industry back on its feet over the longer term. This will require significant investments in capital equipment. NOV has a long and proud history in the country that began back in 1949. We employed over 450 people there before we had to shut down our operations. Since then, we have continued to sell equipment and spare parts to support major IOCs Venezuelan operations. And just over the past several weeks, we've received new orders with a value that exceeds the total amount of revenue we've generated during the past several years while supporting this operator's activity in the country. Given our history operating in the country, we will quickly ramp up support for our customers when it becomes appropriate to do so. Moving to the offshore markets. First, I'll talk briefly about what we see in the construction space, then cover production and drilling markets. NOV is a leading provider of critical cranes and deck machinery for drilling rigs, offshore support vessels, or OSVs, cable and pipe lay vessels and wind turbine installation vessels or WTIVs. Demand for new WTIVs has been soft, impacted by cost inflation, supply chain pressures and higher borrowing costs for developers. While we booked 1 order in 2025, the outlook for offshore wind has deteriorated with the latest forecast for turbine capacity additions through 2030 down over 35% since this time last year. As a result, offshore wind contractors are cautious and there is poor visibility into future orders. However, demand for cable lay vessels needed to connect power from the still growing number of offshore turbines to shore has remained solid with 2 orders in 2025, including 1 in the fourth quarter. We expect this level of demand to continue through 2026 with longer-term demand contingent on the ultimate pace of offshore wind development. We're seeing strong demand for our offshore cranes with our operation reaching its highest level of revenue in over 10 years. This demand has been led by operators of OSVs, where the average age of the global fleet is now almost 20 years, approaching a typical 25-year life and giving us confidence that demand will remain solid over the coming years. Turning to offshore production and drilling equipment. Industry forecasts suggest 2026 will be another year of lower spending, down low to mid-single digits. While we do not disagree with this view, the market is nuanced, and we believe the offshore market is rapidly nearing the beginning of a strong extended up cycle. Over the past decade, the offshore industry has fundamentally changed. Improved project execution, greater standardization, industrialization of infrastructure and better technology have materially lowered breakeven costs. NOV's drilling and production technologies have contributed to this emerging renaissance. Our automation packages, digital solutions and other equipment have improved drilling efficiencies. And the industrialization we've applied to building gas and fluid processing modules for FPSOs has helped lower costs. Additionally, operators are now benefiting from artificial intelligence using the latest processor chips that enable quicker iterations and better subsurface interpretations to reduce time, risk and costs associated with deepwater exploration. All of this has meaningfully improved offshore economics with breakevens in many areas now falling below $40 per barrel. Lower costs, along with a growing need to offset structural production declines are increasingly positioning long-cycle offshore barrels to supplant short-cycle North America shale as a source of incremental supply, supply that is needed to feed the world's growing demand for energy and which will reinvigorate offshore exploration. We're already seeing many IOCs planning to significantly increase their deepwater exploration budgets in the coming years, some by as much as 50%. In the offshore production space, we are leaders in providing most of the critical components outside of power and compression for FPSOs and mobile offshore production units. We also provide mooring and fluid transfer systems and other equipment for FLNG projects. 2025 was a massive year for deliveries of FPSOs with 15 vessels starting operations, many for projects sanctioned before the pandemic. Only 5 new FPSO FIDs advanced during the year, while others were postponed due to higher costs, supply constraints and macroeconomic uncertainties. Over the last year, operators and suppliers have been working together to lower upfront capital costs by evolving designs of large FPSOs to smaller to midsized units optimized for average anticipated field production rather than maximum throughput. The projects are now starting to move forward. In 2026, we see the potential for up to 10 FPSO FIDs and expect demand to remain strong with an average of 8 FIDs per year through 2030. Notably, while we expect the average size of FPSOs to decrease, we see a higher proportion of FPSOs destined for gassier markets in harsher environments, which plays into NOV's strength in gas and condensate processing and in quick disconnect turret mooring systems. Lastly, in offshore drilling markets, we are seeing green shoots with growing indications that the white space for our offshore drilling contractors is beginning to shrink. Our customers are seeing an increase in the pace of contracting and the average duration of new contracts is increasing significantly, which we believe reflects building momentum for long-term offshore developments. From September 2025 through January 2026, there have been 59 floater contracts awarded in comparison to only 33 during the same period last year. Additionally, as of year-end 2025, public open tenders for all offshore rigs reflected approximately 30% more minimum rig days relative to open tenders at year-end 2024. That number increases to over 100% if you consider only open tenders for floating rigs. While most new contracts are scheduled to begin in 2027, our offshore contract drilling customers typically call us as soon as contracts are signed to begin preparing rigs to go back to work. This drives demand for service and repairs, spare parts, recertifications and capital equipment upgrades. We've now realized 2 straight quarters of increased spare part bookings and expect orders to improve further in the second half of the year. We also believe the stage is set for an extended recovery as the call on production from deepwater increases, driving the industry to get back to work. We're extremely excited about NOV's future and the market environment we see unfolding over the next several years. We performed well in 2025, reflecting the strength of the diversity in our portfolio and the great work our team is doing to execute well in a tough environment. Rodney?
Rodney Reed: Thank you, Jose. Consolidated revenue for the quarter was $2.28 billion, an increase of 5% sequentially and down 1% year-over-year. Net loss was $78 million or $0.21 per fully diluted share, impacted by a higher effective tax rate from valuation allowances on deferred tax assets and a higher mix of foreign earnings. The company also recorded $86 million within other items, primarily related to the impairment of goodwill and long-lived assets. Adjusted operating profit was $177 million, or 7.8% of sales and adjusted EBITDA totaled $267 million, representing 11.7% of sales. Sequentially, margins benefited from strong operational execution, offset by a less favorable mix of business and higher tariff expense. Our team delivered another strong quarter of free cash flow generation, totaling $472 million in the quarter. As Jose mentioned, free cash flow was $876 million for the full year, our second consecutive year with an EBITDA to free cash flow conversion rate of over 85%, representing our best 2-year free cash flow in 10 years. Working capital as a percentage of revenue run rate decreased to 22%, our lowest level in 10 years. We continue to execute on our return of capital program. During the quarter, we repurchased 5.7 million shares for $85 million and paid dividends of $27 million, bringing total capital return to shareholders to $505 million year-to-date. This includes a supplemental dividend of approximately $78 million paid in the second quarter. In the past 2 years, we've returned $842 million to our shareholders while increasing our cash balance by $736 million. Through our disciplined share repurchase program, our current shares outstanding are at their lowest level in 18 years. Our balance sheet remains strong with net debt-to-EBITDA at 0.2x, and we remain committed to our return of capital framework. For the quarter, tariff expense was $25 million, increasing around $8 million sequentially. In the current regulatory environment, we expect our tariff expense to slightly increase in the first quarter, leveling off at a similar amount for the remainder of 2026. We're seeing an increased cost in our supply chains from secondary impacts from tariffs, including sizable increases for items like Tungsten carbide. We continue to focus on our supply chain and execute strategic sourcing initiatives to reduce tariff impacts. Our efforts to reduce structural costs, standardize and simplify processes and upgrade systems to improve productivity are progressing as planned. These programs are on track to deliver over $100 million in annualized cost savings by the end of 2026, although tariffs and other inflationary impacts remain headwinds. As Jose mentioned, we expect overall upstream spending to contract slightly from 2025 levels with reductions in North America being greater than international and offshore markets. We expect this will lead to slightly lower revenue in 2026 with results being more weighted to the second half of the year and full year EBITDA in line to slightly lower than 2025. Given the strong fourth quarter collections and anticipated timing of progress billings on projects, we expect EBITDA to free cash flow conversion to decrease to between 40% to 50% for 2026. Capital expenditures for the year should be between $315 million and $345 million. Higher expected foreign earnings will likely lead to a higher effective tax rate of around 34% to 36%. Turning to segment results. Our Energy Equipment segment fourth quarter revenue was $1.33 billion, up 7% sequentially and 4% year-over-year. Adjusted EBITDA for the fourth quarter was $180 million or 13.5% of sales, driven by solid execution on a higher quality backlog and further strength in our offshore and production-oriented businesses. As Jose mentioned, this represents 4 years of consecutive revenue and margin growth with annual revenue increasing almost 60% over that time. Capital equipment sales accounted for 63% of the segment's revenues in the fourth quarter of 2025, increasing 8% sequentially and 15% year-over-year, led by growth in our subsea flexible pipe, Process Systems and Marine Construction business units. Aftermarket sales and services accounted for the remaining 37% of revenue, growing 6% sequentially, but declining 12% year-over-year, which I will discuss momentarily. Capital equipment orders for the quarter were $532 million and $2.34 billion for the full year, resulting in a book-to-bill of 91% for 2025 and backlog at the end of the year of $4.34 billion. Orders during the quarter were led by a newbuild offshore jack-up rig equipment package, additional scope on offshore production projects, subsea flexible pipe, subsea cranes and a cable lay vessel. These bookings reflect the diversity of end-use markets where NOV has leading positions and technologies critical to our customers. We continue to have a constructive outlook on bookings and expect the full year 2026 book-to-bill to be near 100%. Our Subsea flexible pipe business delivered another exceptional quarter, achieving its highest quarterly revenue and EBITDA on record for the second consecutive quarter. Backlog since the end of 2023 has doubled, while annual shipments have increased around 50%. Margins remained robust, driven by better quality backlog and operational execution. Production levels set new records as the team continues to produce high-quality, on-time deliveries, earning further recognition from customers for reliability, quality and consistent execution. Another sizable project was booked in the fourth quarter, and we expect strong bookings in the first quarter of 2026. Given the expectations for growth in greenfield projects, tiebacks and an increased need to replace aging pipes, the outlook for this business remains bright. Our Marine and Construction business achieved an upper single-digit increase in revenue sequentially and a sizable increase compared to the fourth quarter of 2024, driven by higher revenue from cranes as well as pipe and cable A systems. During the year, this business has booked orders for critical equipment supporting cable A, FLNG, FPSO, offshore supply and wind turbine installation vessels. As Jose mentioned, we expect an increase in FPSO and FLNG-related awards, which should drive incremental demand for our gas and liquids processing systems and our mooring and fluid transfer systems over the next several years. Our Process Systems business delivered solid performance during the fourth quarter with revenue slightly outpacing last quarter's record revenue. Compared to the fourth quarter of 2024, revenue was up more than 40%, supported by continued strong activity across offshore production and onshore gas markets, particularly in the Middle East. For the full year, the business delivered more than 30% growth, reaching its highest ever revenue and EBITDA. Bookings for the year doubled compared to 2024. During the quarter, the business secured key awards for a gas dehydration unit in Saudi Arabia and an expansion of scope in existing North Sea project. Representing over 40% of 2025 business unit bookings, demand for MEG systems remains strong, driven by offshore projects and large onshore gas field expansions. Also, the business is seeing increased opportunities for brownfield applications in our produced water technologies. Our book-to-bill over the past 3 years in subsea flexible pipe, process systems and marine construction has exceeded 120% with backlog growing nearly 40%. These businesses represented over 70% of total energy equipment bookings for 2025, and we anticipate continued strong demand as momentum builds and FIDs increase in offshore markets. Revenue from our drilling capital equipment business during the fourth quarter experienced a year-over-year decline in the low teens percentage range, but notably increased nearly 10% sequentially. We are encouraged by recent contracting activity among our offshore drilling customers, which helped capital equipment orders improve sequentially. We delivered our 14th high-specification land drilling rig manufactured in Saudi Arabia and expect a solid cadence of rig deliveries in 2026 and beyond. And as previously mentioned, we secured a drilling equipment package for a newbuild jack-up rig being constructed in Saudi Arabia. Continued engagement with customers as offshore tendering remains active is leading to an increase in demand for select upgrade opportunities, including BOP-related equipment, managed pressure drilling and automation and robotic systems. We're having more constructive dialogue around future opportunities, positioning the business to benefit as offshore drilling activity should improve later this year and into 2027. Revenue for intervention and stimulation capital equipment declined 10% year-over-year, but increased substantially compared to the prior quarter, driven by solid demand for coiled tubing equipment and wireline equipment. During the quarter, we shipped new coiled tubing equipment to the North Slope and the U.K. and wireline equipment throughout the Middle East. New orders included 2 dual trailer large-diameter CTU units with 50,000-foot reels and injectors. Even with constrained budgets for our North America customer base, book-to-bill for the year was 94%, primarily supporting international markets, which more recently represents about 50% of the business' total revenue. Turning to aftermarket portion of the Energy Equipment segment. In our drilling equipment business, fourth quarter revenue for aftermarket parts and services was down in the mid-teens percentage range year-over-year, but increased nearly 10% sequentially. Spare parts bookings for the fourth quarter were above their trailing 8-quarter average, reaching their second highest level in the past 6 quarters. Aftermarket revenue for our Intervention and Stimulation Equipment business was down mid-single-digit percentage sequentially and low double-digit percentage year-over-year. The year-over-year change was due to lower sales of spare parts and a decrease in rentals resulting from reduced completion activities in North America, partially offset by higher coiled tubing, repair and service activity. For the first quarter, we expect Energy Equipment segment revenue to increase 3% to 5% year-over-year with EBITDA in the range of $145 million to $165 million. Moving to the Energy Products and Services segment. Our Energy Products and Services segment generated revenue of $989 million during the quarter, representing a sequential increase of 2%, driven by higher sales of the segment's composite solutions, seasonal bulk sales of downhole products and stabilizing activity in the U.S. and the Middle East. Compared to the fourth quarter of 2024, segment revenue declined 7% and adjusted EBITDA decreased to $140 million or 14.2% of sales. The year-over-year decline was driven by lower drilling activity in the U.S., Saudi Arabia and Argentina. Lower volumes, increased tariff expense and other inflationary pressures more than offset cost control efforts and efficiency improvements, resulting in larger-than-normal EBITDA decrementals year-over-year. In North America, the segment continued to outperform underlying activity levels. Market share gains and increased adoption of new technologies contributed to a modest increase in revenue year-over-year despite a 6% decline in rig count. Our strong market positions in Saudi Arabia and Argentina hurt our performance in 2025 as drilling activity declined. However, we expect meaningful activity improvements in those markets progressing through 2026. For the fourth quarter, the sales mix within Energy Products and Services was 49% service and rental, 33% capital equipment and 18% product sales. Revenue from services and rentals declined 7% year-over-year, driven primarily by softer global activity levels. This decline was partially offset by increased adoption of NOV's wired pipe enabled downhole broadband services, DBS, and continued market share gains across several offerings. Revenue from NOV's DBS services more than doubled compared to the prior year, driven by increased activity in the North Sea, where technology is enabling enhanced geosteering and faster drilling in complex long lateral wells. During the quarter, a North Sea operator highlighted the value of high-frequency downhole data and enabling faster and more confident decision-making, crediting the technology with enabling the drilling of a reservoir section that likely would not have been achievable without real-time data transmission. NOV's drill bit rental business also finished the year strong, capturing additional market share across U.S. land markets and driving a revenue increase of about 20% in the region for the full year compared to 6% decline in U.S. rig count. Across the broader services portfolio, softer activity in Saudi Arabia, North America and Latin America reduced demand for rentals of downhole tools, solids control services and tubular inspection operations. These declines were partially offset by growing adoption of our advanced technologies into new markets and higher activity levels in the UAE. Sales of capital equipment declined in the low single-digit percentage range year-over-year, but increased at a high single-digit rate sequentially, driven by a recovery in shipments of composite solutions. The year-over-year decline reflected strong shipments of composite pipe for the Middle East and FPSO vessels in the prior year that did not repeat, partially offset by continued strength in demand for fuel handling tanks and large diameter composite pipe supporting produced water takeaway capacities in North America. Our composite business experienced its highest annual revenue in history during 2025 with fourth quarter bookings reaching their highest level in 3 years, with strong demand from multiple end markets, including fuel handling, where orders doubled from 2024. While we expect to see typical first quarter seasonality, demand remains supported by ongoing investments in infrastructure and offshore developments. Our Tubular Products business, which includes drill pipe and large diameter conductor pipe, saw orders for drill pipe in the second half of 2025 significantly outpaced the first half, leading to a high single-digit revenue increase year-over-year. However, timing of orders for our large diameter conductor pipe led to a year-over-year decline in revenue for this product line, which will also have a negative effect for the first quarter of 2026. Revenue from product sales increased modestly sequentially during the quarter but declined in the mid-teens percentage range year-over-year. The year-over-year decline reflected lower industry activity levels, particularly impacting typical year-end bulk purchasing in the Eastern Hemisphere of our downhole drilling tools and drill bits. Sequentially, strong shipments of completion tools to customers in the Middle East, Argentina and Europe were offset by lower shipments of fishing tools and drilling tools to Asia. For the first quarter of 2026, we expect our Energy Products and Services segment to experience a seasonal decline consistent with prior years, translating into revenue that is down 6% to 8% year-over-year with EBITDA between $105 million and $125 million. That sums up our financial results for the quarter and for the full year. If we take a step back, our adjusted EBITDA for 2023 was $1 billion, with 2025 improving about 3% to $1.03 billion despite significant market headwinds. Over that time, North America rig count declined 15%, Saudi Arabia rig count declined over 10% and the offshore floater count declined 4%. Additionally, changes in trade policies resulted in tariff expense of over $50 million in 2025. Nevertheless, NOV generated $1.8 billion in free cash flow during that 2-year period, demonstrating the diversity and resilience of our portfolio. With that, I'll turn the call back over to Jose.
Jose Bayardo: Thanks, Rodney. As we go forward, NOV is in a very strong position. The near-term market environment may become more difficult, but we will further improve our operational efficiencies. We also intend to lean harder into growth opportunities that will generate value for our shareholders and that will be supported by a much more favorable market setup that we expect to emerge later in the year. I'd like to end by saying thank you to all our employees for delivering another solid year and for the dedication you have to our customers and to our fellow employees. I appreciate your focus on making NOV better every day. Our outlook is bright, thanks to everything that you do. With that, we'll open the call to questions.
Operator: [Operator Instructions] The first question will come from the line of Jim Rollyson with Raymond James.
James Rollyson: Maybe on the offshore rig kind of expected ramp late this year going into '27. You guys have done an interesting job of kind of laying out like the FPSO opportunity set for you, which is a pretty wide range from a revenue standpoint. Maybe if you could just kind of give us order of magnitude how you're thinking about the order opportunity set for spares and upgrades and all the different components that you're in discussions with on folks as they look to ramp back up hopefully into the next couple of years.
Jose Bayardo: Yes. Thanks for the question, Jim. So yes, as you can tell, we're pretty optimistic about the lay of the land in terms of what we expect to happen in the offshore space, both from an offshore production equipment standpoint as well as in the drilling environment. And so the last few years, as Rodney really laid out, we've seen a tremendous increase in terms of demand for offshore production-related equipment, and we have really positioned the business well to capitalize on that opportunity set. And as I mentioned, it was just a huge year in terms of FPSO deliveries in 2025, really a wave that kind of came about from FIDs that are around the time of the pandemic. Some of those were pushed out later than anticipated because of all the dysfunction that occurred in the marketplace during the pandemic era. And they're finally coming online. And recall that part of the reason or really a big driver for the reason of the white space in the offshore drilling market was because the production equipment wasn't yet in place to put those rigs back to work. And so we've been saying for a while now that, hey, do you really think the world is going to build all this production equipment and not drill a bunch of wells to feed into those assets? And that's what we continue to expect to happen. A lot of those vessels just recently set sales and are connecting. And we're also now starting to see unsurprisingly, really significant impact or improvement in terms of offshore rig tendering, and we provided those stats with comparable period contracts increasing from 33 contracts a year ago to 59 over the most recent period. And really importantly, the average duration of these contracts that are being tendered is significantly longer than they were before, indicating that, hey, we're moving from an era here recently where rig contracts have basically been very short term in nature for single well or double well projects, and now we're shifting to crew development mode from some of these offshore opportunities or field development projects. And so we feel really good about all facets of our offshore business. As we mentioned, we still continue to see a lot of demand for offshore production-related equipment with potentially 10 FIDs this year and averaging 8 or so going forward for the next several years. Additionally, we see a little bit of a different mix in terms of the types of vessels that will be needed. And those -- that mix kind of plays, we think, into our strength -- with having higher gas and condensate content, which is where we really shine as well as more of those vessels that will be operating in harsh environments, which create larger opportunities for our quick disconnect through our boring system. So excited about that. But here, as we've talked about over the last year with the white space, there's been a lot of pressure on our rig aftermarket business, which, as Rodney mentioned, was down mid-teens percent year-over-year. And Jim, as you know, that's a really good business where the -- where we really have a really good position as the original OEM of a lot of this equipment that's out there. And so we're going to benefit from just a higher pace of activity offshore that's going to command a higher level of aftermarket parts, but also as these rigs go back to work, -- there's service and repair work that needs to be done. There's recertifications, there's upgrades, et cetera. And so we feel like the outlook here is really bright.
James Rollyson: Appreciate all that color. And then just one quick follow-up. Rodney talked about the tariff impact, and you guys have talked about this over the last couple of quarters or so really since it all started. And I seem to recall maybe a couple of quarter conferences ago -- conference calls ago that one of the plans was the $100 million cost-out program to help kind of offset that. But longer term, I think the hope was you pass some of this tariff costs through higher pricing. And I'm just curious like where we are in the status of maybe that actually happening. Is the market still soft enough that you can't quite get there and you need that to change or maybe where we are in that process?
Jose Bayardo: Yes, Jim, we're certainly having some success passing on those costs. But as you can imagine, it is a difficult market environment to pass along those costs, right? We've been -- we've seen a steady decline in industry activity over the last couple of years at a time -- during a time period when not only are we seeing heightened costs from tariffs, but also inflationary costs hitting in other areas. And so while in general, the number of areas that are experiencing large increases related to inflation, the number of areas has decreased a little bit. We're still seeing certain areas where there are really significant increases. Rodney highlighted the tungsten carbide, that's going to be a bit of a shock to the system, really important in the manufacturing of matrix body bits as well as for art-facing steel body bits. And we've gone up a couple of hundred percent in a couple -- in a 1-month time period due to all the supply constraints there coming out of China, and that's just really volatile. Also costs associated with electronics and memory and then not to mention continued pressure on labor and medical has been a real challenge. But look, this is just a fact of life in our business. Sometimes these things are more volatile than others, and we're managing through it. We've got some good efforts underway in terms of making sure that we get paid an appropriate value for the technologies that we bring to bear for our customers. Also have good efforts underway to continue to improve the efficiencies across the organization and offset some of those costs. And when we talked -- initially talked about that cost-out program, which we're making really good progress on, we mentioned that it would not fully offset what we expected to happen over the next few quarters related to inflation, tariff expense, et cetera. So you haven't really been able to see it just looking from the outside in on the P&L, but we're certainly seeing the benefits of what we're doing internally in some of the KPIs that I referenced earlier. And then as we progress through 2026, when tariffs will stabilize, assuming no other changes to the regime and a larger amount of those cost savings come through, I think you'll really start to see more of that in the second half of the year.
Operator: Our next question comes from the line of Marc Bianchi with TD Securities.
Marc Bianchi: Jose, you had some comments in your prepared remarks about M&A. And it sounded to me like the company, given the stuff that you guys have put in place over the last several years to sort of respond to the new world is maybe in a better position to pursue M&A going forward. And I don't know, maybe that wasn't the intended takeaway, but just maybe frame for us how we should be -- how investors should be thinking about your intentions around M&A now?
Jose Bayardo: Yes. Thanks for the question, Marc. And I think you picked up on the general message, but let me clarify a little bit. Yes, certainly, our focus has been a little bit more internal recently, really focused on cost out, driving internal efficiencies and really preparing to get ourselves ready to really capitalize on growth opportunities. And so it's really a mindset shift to a large degree in terms of having played defense in a very challenging market to really moving into the -- in the role of playing offense. And having really incredibly efficient processes, whether it's manufacturing, whether it's supply chain, whether it's back-office processes, certainly helps in terms of being able to justify and validate M&A type transactions. So we're very confident. And look, one of the benefits that we get when we do acquisitions is being able to buy businesses that are within our core expertise areas, leveraging our core competencies to make those businesses better and accelerate their growth through leveraging our manufacturing base, our global supply chain, our marketing resources around the world, et cetera. And so the more efficient those are, the better we can integrate these acquisitions and drive more value. But the other part of what we were really trying to get at is that while we will lean into M&A a little bit more and try to be a little bit more aggressive, we're still going to be incredibly disciplined. We're still going to be focused on making sure that that's the best use of our capital, certainly in comparison to buying back our own shares and things of that nature. So we will continue to be very, very disciplined. And what we're really excited about is the organic growth opportunity that is in front of us. Our businesses have developed some fantastic technologies that have recently been commercialized or that are soon to be commercialized. And that, combined with the market outlook that we see evolving over the next couple of years has us extremely excited and presents additional growth avenues in areas where we can invest our capital to lean into those growth opportunities. And look, those -- the need for capital in those opportunities is not -- we're not talking about huge amounts because it's organic, but there are opportunities where we look into the future and we see, hey, we're going to be manufacturing constrained in this area, and we need to build these areas out. There are other areas where we're seeing really rapid adoption of what we're doing, and we need to build out more capacity from a rental equipment standpoint to be able to effectively deliver for our customers. So that's -- hopefully, that helps provide a little bit more clarity in terms of what I was getting at there.
Marc Bianchi: Yes. Yes, sure does. The other one I had was on the order outlook. I think, Rodney, you mentioned a near 1 book-to-bill. And within that context, you also talked about FPSO FIDs doubling in '26. So maybe help us think about the range of scenarios if you were to get your fair share and there are 10 FIDs for FPSOs, should we be comfortably above 1? And then along those lines, how are you seeing 1Q shape up?
Jose Bayardo: Yes. Thanks for that question as well. And look, it's never over until it's over, but we feel really good about our prospects to win our fair share related to the opportunities that are out there. As I touched on earlier with Jim's question, there are some of those opportunities that really are areas in which we should do very well related to leveraging our expertise in high condensate gas processing and environments. So we're excited about that. And look, if you look -- if you think about kind of what we've done over the last several years, yes, this year was a 91% book-to-bill, but each of the preceding 4 years was greater than 100% book-to-bill. We've got a very healthy backlog today that has been driven by those offshore production awards, backlog of $4.34 billion. So while it's 91% for the year, we're only down $93 million year-over-year, and the outlook for this coming year is really good. Always tough to give precise guidance related to future awards. As you know, these are big and chunky typically, and they can push and pull from quarter-to-quarter. As we suggested here, we anticipate a relatively slow and cautious start to the year. So I think we'll be below 1x book-to-bill in Q1. But for the year, we think things will even out, and we expect to be around 1x.
Operator: Our next question coming from the line of Stephen Gengaro with Stifel.
Stephen Gengaro: Jose, I think you got Clay words for minute down pretty pat.
Jose Bayardo: I had a lot to say this morning, Stephen.
Stephen Gengaro: No, the commentary is great, and there's a lot of detail. The -- I may be overthinking this, but when we think about the aftermarket business that you have and given your large installed base, the amount -- do you know -- do you have a sense for the amount that you serve of your installed base? And maybe more importantly, over the last couple of years, has the third-party ability to service existing assets dwindled at all from a competitive perspective?
Jose Bayardo: Yes. A good question, Stephen. Look, it always ebbs and flows. And inevitably, people want to look for ways to do things more efficiently and more cost effectively. And at times, that leads them to go to the sort of proverbial [indiscernible] mechanic. But more often than not, those efforts are short-lived because they realize the complexity of what it is that we provide and what we do and the critical importance of making sure that you operate incredibly efficiently and reliably and that tends to drive people quickly back to the OEM. So I can't precisely tell you exactly where we are, but we feel great about our position and that we're getting our fair share. And look, every day, we're focused on providing better and better service and delivering better value for our customers. So certainly, intent is to bring that down more and more every single day, but there are always little ebbs and flows here.
Stephen Gengaro: Okay. And then just the quick follow-up was when you look at sort of the basket of sort of stacked idle deepwater assets, it's -- I think it's fairly small, but do you have a sense for what the market opportunity is there for reactivations?
Jose Bayardo: Yes. I think, look, it's -- when you talk about deepwater drillships, it's pretty limited. And I'm not going to give specific numbers. I'll let our contractor customers talk about it. But look, it is limited. I think it's -- you can sort of see exactly what's been operated here in the recent past and what those levels are that we could probably more easily get back to. But then I think your question is really around the stuff that's been stacked for a really long time or rigs that were never fully completed that were ordered during the last boom cycle. And I think that opportunity set, lucky to call it kind of a handful. So it's a limited opportunity and those opportunities that do exist. They're going to be large opportunities, right? They've been stacked for a very, very long time. And when I say handful, that's the number that are higher spec and that we think will be in line with what the market currently demands. And like I said, they've been stacked or uncompleted for a very long time. There's going to be a big ticket associated with bringing those back. So TBD exactly how that will play out. But it's a good opportunity for us. And then we see the market obviously tightening up very quickly, which means it will be a very good market for our drilling contractor customers, and that's a good thing for the space.
Operator: Our next question coming from the line of Dan Kutz with Morgan Stanley.
Daniel Kutz: So just going back to Venezuela. I was wondering if you guys could kind of quantify at all maybe what the level of revenue you were doing back pre-sanctions when you had the -- I think you said 400 employees in country or kind of what the equipment and spares revenue streams have been the last couple of years, which you said like the inbound you've gotten is kind of a multiple of the annual revenue stream. So basically just driving that, anything you could help us with as we're trying to kind of quantify the potential opportunity in Venezuela would be really helpful.
Jose Bayardo: Yes, Dan, fair question. But I think what I would point to is that I don't think kind of the history is the precise dollar amount isn't particularly relevant, right? There's been a lot of change in pricing. And more importantly, I think the market environment going forward is going to be very, very different. But look, you can do the quick math. I said 450 employees. Today, we have a little over 30,000 employees. And so you can sort of figure out what the revenue per employee should be, and that's kind of in line with where we were. But the reason why I say it's not entirely relevant is because if and when the right fundamentals get put in place to really get back to work in the country. And what I mean by that is the right governance, the right laws and rules that allow us and more importantly, our customers to go to work there, along with alleviating security concerns and all those sorts of things. It's a country that's been -- it's a country whose oilfield assets have been neglected for an incredibly long period of time. And so that's going to create -- should create massive opportunities for new capital equipment. So when you go back in the day when we were active there, virtually all lines of business were active there. So we have -- certainly have the capability to do that and scale up very quickly. But we think the opportunity there, if and when the right guardrails are put in place will be meaningfully larger than what they were in the past.
Daniel Kutz: Awesome. That's really helpful. And then I just wanted to check in on kind of your through-cycle CapEx and free cash flow framework. So not asking about 2026 because I know you guys gave the explicit guide for both of those items. But just wanted to check in on -- I guess you guys have kind of said like a 50% plus free cash flow conversion framework through cycle. I wanted to see if that's still a good assumption or that's the latest. And then maybe if you could kind of unpack CapEx a little bit, how you think about that through cycle, whether it's in terms of revenue or some type of maintenance level plus some growth investments. So yes, anything you could help us on the through-cycle CapEx and free cash flow framework would be great.
Rodney Reed: Yes. Thanks, Dan. This is Rodney. So just stepping back and giving some credit to the team with respect to free cash flow conversion for the last couple of years, 85% free cash flow conversion, really excellent performance by the team. A lot of that was really system structural improvements. So if you look at the improvements that we've had on DSOs during that time, you look at the improvements that we've had, in particular, for some of our project-based businesses with some of the progress billings and timing of collections during that time, really strong and also on our inventory turn improvement. So 2023 inventory turns at 3.1 improving to 3.9, almost 4 turns in 2025. So just across the board, I know Jose gave some commentary on cash conversion through the cycle, but just some components there. And then we kind of mentioned, as we think about '26, a little bit more directed to your question, about 40% to 50% free cash flow conversion for '26. And if you look at the components of that, CapEx in that sort of $315 million to $345 million range. You look at working capital as a percentage of revenue, probably about flat to maybe slightly up. So that kind of gets you to that cash conversion rate there for '26. And I think going forward, as Jose mentioned, we've got some organic opportunities that we always evaluate. I think our CapEx in '24 and '25, if you look, was a touch higher than '22 and '23. '26 at that sort of midpoint gets back to a little bit more sort of average level. But the positive thing is with the strength that we have on the balance sheet and where we're at right now, we've got the flexibility to look at those opportunities going forward. But overall, I'd say kind of through cycle, that sort of 50% -- 40% to 50% number from a conversion perspective is a good marker for us.
Operator: Our last question will come from the line of Jeffrey LeBlanc with TPH & Company.
Jeffrey LeBlanc: I wanted to see if you could provide an earnings potential of your ATOM RTX robotics platform over a multiyear period and how we should think about the gating events for it to become the next drive?
Jose Bayardo: Yes. Thanks, Jeff. Look, we are super excited about kind of what we're doing on the automation front and really more broadly speaking, on all things that we're doing digital-wise. First of all, just a quick answer on the robotics piece. This is something that we put our first effectively pilot system out a couple of years ago. It's been operating consistently with a couple of upgrades and getting better and better every day over the last couple of years, operating in a very harsh environment. We've been working very closely with the drilling contractor customer and an IOC. This is a great stage that's set to where we're doing a lot of cooperation with industry partners to ensure that this is successful. And we're working with 2 different IOCs and 2 different drilling contractors. And all 4 of those customers are really excited about what we're delivering with them out in the field. We currently have 3 rigs operating on land, 3 operating offshore, and we've sold around 27 to 30 robot arms, and we're having super constructive conversations with our customers about doing a whole lot more. So that's really about all I can give you on that front right now. But look, the other thing that I'm extremely excited about is the capabilities that we have under one roof related to data control systems and automation. Look, we've been in the data business for over 100 years when we started an instrumentation business. Obviously, we've migrated from analog to digital on a lot of fronts, including data capture aggregation and now more and more high-speed downhole data transmission, combine that with our world-class capabilities for control systems, then layer on top of that automation and robotics and now the use of AI, and we're super excited about where we can take all this over the coming years. So really excited about our prospects there.
Operator: And I'll now turn the call back over to Mr. Jose Bayardo for any closing remarks.
Jose Bayardo: Great. Olivia, thank you very much, everyone, for joining us here this morning. We look forward to talking to everybody again here in late April.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. .